Operator: Good day, and thank you for standing by. Welcome to the Doximity Second Quarter 2022 Earnings Call. [Operator Instructions]. I would now like to hand the conference over to Perry Gold, Head of Investor Relations. Please go ahead.
Perry Gold: Thank you, operator. Hello, and welcome to Doximity's Fiscal 2022 Second Quarter Earnings Call. With me on the call today are Jeff Tangney, Co-Founder and CEO of Doximity; Dr. Nate Gross, Co-Founder and CSO; and Anna Bryson, CFO. A complete disclosure of our results can be found in our press release issued earlier today as well as in our related Form 8-K, all of which are available on our website at investors.doximity.com. As a reminder, today's call is being recorded, and a replay will be available on our website. As part of our comments today, we will be making forward-looking statements. These statements are based on management's current views, expectations and assumptions and are subject to various risks and uncertainties. Actual results may differ materially, and we disclaim any obligation to update any forward-looking statements or outlook. Please refer to the risk factors in our S-1, our last quarterly report on Form 10-Q and our other reports and filings with the SEC that may be filed from time to time, including our upcoming filing on Form 10-Q. We would like to specifically caution investors that our future performance will be harder to predict for the foreseeable future given the COVID-19 pandemic. Our forward-looking statements are based on assumptions that we believe to be reasonable as of today's date, November 9, 2021. Of note, it is Doximity's policy to neither reiterate nor adjust the financial guidance provided on today's call unless it is also done through a public disclosure such as a press release or through the filing of a Form 8-K. Today, we will discuss certain non-GAAP metrics that we believe aid in the understanding of our financial results. A historical reconciliation to comparable GAAP metrics can be found in today's earnings release. Finally, during the call, we may offer other incremental metrics to provide greater insight into the dynamics of our business. These details may be onetime in nature, and we may or may not provide updates on those metrics in the future. I would now like to turn the call over to our CEO and Co-Founder, Jeff Tangney.
Jeffrey Tangney: Thanks, Perry, and thank you, everyone, for joining our second quarter earnings call. We'll begin with a few highlights. First, our top line. I'm pleased to report that we delivered $79.4 million in revenue for the second quarter of our fiscal 2022, an increase of 76% over the same quarter last year and 8% above the midpoint of our guidance. We're also raising our annual guidance by 10% to a midpoint of $327.1 million for fiscal 2022, which translates to 58% growth year-on-year. Turning to our bottom line. We posted an adjusted EBITDA margin of 41% last quarter or $32.8 million, which was 22% above the midpoint of our guidance. Our vertical sales model continues to deliver strong incremental margins, allowing us to scale efficiently as the strong ROI we deliver for our clients generates low friction upsells. More on this in a minute. Last but not least, our network continues to grow as hybrid home office work schedules become the new norm for many doctors, we're proud that our mobile workflow tools have been able to help. Our e-signature and fax product usage continued at our Q1 record highs, and we expanded our paid telehealth platform to an additional 50,000 physicians last quarter. Our active telehealth users reached a record high with over 330,000 unique physicians, NPs, PAs and medical students completing a telehealth visit with us in the quarter. Okay. Those are the highlights. I'd like to take a few minutes now to do a deeper dive on the drivers and sustainability of our top line growth. Then I'll close with a couple of partnership spotlights from the quarter. For the past decade, it's been our mission at Doximity to help physicians be more productive to provide the best care for their patients. Today, over 80% of all U.S. physicians are members of our platform, using it to video call their patients, sign important paperwork remotely and keep up with medical news. Our interactive platform allows top hospitals and pharmaceutical companies the best brands in medicine to connect efficiently with the right physicians about new treatments, clinical trials and patient referrals. We then measure our clients' return on investment or ROI using third-party claims and prescription data. At a high level, there were 2 primary drivers of our growth this past quarter. The first is ROI-fueled expansion with our existing clients. We completed 23 third-party ROI studies last quarter. Our pharma clients saw a median return of 17:1, while hospitals saw a median of 14:1. Keck Medicine at the University of Southern California, for example, netted an 18:1 ROI from increased new patient referrals leveraging our peer connection and awareness modules. Of note, this quarter's ROI results were up from our historical median of 10:1 for pharma and 13:1 for hospitals as reported in our S-1. Our clients generally target a 2 to 3x return on their marketing investment, so they're pretty pleased with us at a 14 to 17x return. These existing clients then reinvest with us by adding new brands, modules, audience, months of coverage or all of the above. This land-and-expand upsell motion grew our net revenue retention rate or NRR to a record high 173% over the trailing 12 months. That's up from 167% in the prior quarter and 139% in the prior year period. The second key driver of our growth is health care's belated but burgeoning shift to digital. As a reminder, U.S. health care spent just 28% of its 2020 advertising budgets on digital channels for IDC. That's less than half to 63% share other U.S. industries spent on digital over the same period, pre-marketer. So health care digital marketing could double and still be a laggard. But that's changing. For a recent Accenture study, only 10% of U.S. physicians want to return to the pre-pandemic methods of marketing. More and more, they're closing their doors to sales reps, coming in industry parlance say, "No see doctor." Back in 2008, roughly 1/4 or 23% of all U.S. oncologists were no see. Today, that's grown to 79% or nearly 4 out of 5 oncologists as no see. And it's not just oncologists. Across all U.S. physicians, 3 out of 5 are now no see per ZS-Access monitor, an industry report. We believe digital will become the primary channel for industry dialogue, but you'd be amazed at how much is still spent on mail and magazines to these doctors today. Finally, since a few of you have asked us about iOS 14, I'd like to clarify that 0% of our revenue is or ever was based on cookie technologies. As a physicians-first company, we've always drawn a hard line when it comes to protecting our physicians' privacy. In terms of revenue sustainability, we believe we're in the early innings of a decade-long secular shift to digital. Physicians have fundamentally changed the ways that they interact with the industry, and we're leading the way in digitizing these workflows. Okay. I'd like to close now with a couple of partner spotlights. First, U.S. News. This quarter, we signed a 6-year extension and expansion of our U.S. news partnership. After a statistical review of our coverage, U.S. News decided to end their traditional mail-in voting this year. So Doximity's now the only place where physicians can verify and vote for the U.S. News Best Hospitals rankings. We're proud to help patients and physicians alike make better decisions in seeking care. Second, we're pleased to announce a new partnership with Press Ganey. As many of you know, Press Ganey is the market leader in measuring patient experience, working with over 41,000 health care facilities to complete over 26 million patient surveys so far this year. Our collaboration began with us wanting to measure the patient impact of our new telehealth features. For example, we found that when doctors used our professional name badge in their video visits, a bottom of screen overlay which shows the doctor's name, credentials, specialty and logo, a bit like a TV news anchor, then their patient quality scores went up by, on average, half a star on a 5-star scale. Patients appreciated seeing the doctor's preferred name and their bona fides. And for doctors and hospitals, a half-star increase is a pretty meaningful result. So hospitals need to conduct a minimum number of patient surveys to maintain their reimbursement levels. So they do lots of expensive phone calls and postal campaigns to get responses. Our real-time surveys not only improve the quality and recency of the patient feedback but also lowers the cost of collection. As a company, we'll continue to develop partnerships, which create win-wins for our physicians and clients. We believe we've become the partner of choice for digital doctoring, and that creates value for both our doctors and partners. Alongside existing partners like UpToDate, Epic and U.S. News, we're pleased to add Press Ganey this quarter. Okay. I'd like to end by thanking the entire Doximity team who worked incredibly hard to deliver a spectacular quarter. And with that, I'll hand it over to our CFO, Anna Bryson, to discuss our financials and revised guidance. Anna?
Anna Bryson: Thanks, Jeff, and thanks to everyone on the call today. We continue to deliver strong results in our second fiscal quarter and are encouraged by the broad-based strength in our business. Second quarter revenue grew 76% year-over-year to $79.4 million, solidly exceeding the high end of our guidance range. This top line result was driven primarily by expansion within our existing customers as they continue to deepen their digital partnerships with us, exemplified by strong upsell success and quicker program launches throughout the quarter. There are several core drivers underpinning this growth. First, we continue to see expansion in the average number of brands and modules per existing customer, which grew 19% and 18%, respectively, versus the prior year period. Second, these customers are also growing their spend through additional upsell vectors, such as increasing audience sizes and extending their programs. As a result of these factors, our net revenue retention rate continued to climb in Q2, reaching a record 173% on a trailing 12-month basis. Another way to look at our growth is through the lens of the number of customers spending 6 figures or more on our platform. We ended the quarter with 235 customers contributing at least $100,000 in subscription-based revenue on a trailing 12-month basis, a 53% increase from the 154 customers we had in this cohort a year ago. Similar to last quarter, this increase was split fairly evenly between existing customers that we upsold and new customers to our platform. Also of note, for the first time ever, the average spend per customer in this cohort surpassed $1 million on a trailing 12-month basis. While the majority of our top line growth came from expansion within existing customers, we are also encouraged by the new adoption of our solutions amongst longer-tail pharmaceutical manufacturers and health systems. In addition, we are continuing to attract other customer types like medical device and diagnostic companies, and notably added another 7-figure customer in these newer markets in Q2. Just as we improved with our current customers, we anticipate we'll be able to deliver significant value for these new customers over time which will lead to future cross-sell and upsell opportunities. Turning to our profitability, non-GAAP gross margin in the second quarter was 90% compared to 84% in the prior year period. This result was driven by our revenue outperformance. Going forward, we will continue to invest heavily in our customer success teams, which make up the largest line item in our cost of revenue and have been a key facilitator of this top line strength. Adjusted EBITDA for the second quarter was $32.8 million, and adjusted EBITDA margin was 41% compared to $12.6 million and a 28% margin in the second quarter last year. Our adjusted EBITDA exceeded the high end of our guidance range due entirely to our top line outperformance. Turning to our balance sheet and cash flow. We ended the second quarter with $742.7 million of cash, cash equivalents and marketable securities. We generated free cash flow for the second quarter of $18.1 million compared to $11.3 million in the second quarter last year. As you consider our free cash flow for this quarter, one thing to note is, historically, the summer months have been the slowest for us from a cash collection perspective as our customers take time off. And we saw that again this year. However, as expected, our collections have picked back up to normal levels in October. And now moving on to our outlook. For the third fiscal quarter of 2022, we expect revenue in the range of $85.8 million to $86.8 million, representing 47% growth at the midpoint. And we expect adjusted EBITDA in the range of $32 million to $33 million, representing a 38% adjusted EBITDA margin. For the full fiscal year 2022, we now expect revenue in the range of $326.1 million to $328.1 million, representing 58% growth at the midpoint. We now expect adjusted EBITDA in the range of $127.6 million to $129.6 million, representing a 39% adjusted EBITDA margin. With regards to our revenue outlook, we are raising our guidance meaningfully due to several factors. First, despite some return to in-person marketing activities, the level at which our customers are spending on our high ROI digital platform remains elevated compared with what we initially anticipated at this point in the year. In addition, our customers continue to launch new programs at a faster pace while also adding on to existing programs, which is yielding quicker revenue conversion for us. In summary, we're excited by the momentum in our business, led by the rapid growth amongst our existing customer base. Although we have achieved success to date, there is still considerable white space for our offerings, and we believe we are just scratching the surface of our market potential. If we look at our largest opportunity and take the top brands at our existing pharmaceutical customers, we estimate that we remain less than 5% penetrated into their U.S. medical professional marketing budgets, and we believe we are uniquely advantaged to gain market share as these budgets continue to shift digital over time. With that, I will turn it over to the operator for questions.
Operator: [Operator Instructions]. Our first question comes from Ryan Daniels with Blair.
Ryan Daniels: Congrats on the strong performance and outlook. Jeff, maybe one for you. I thought it was quite impressive the data on the ROI studies and the increasing ROI for both of your key customer bases. So can you dive into a little bit more detail there on what you think is driving that uptick specifically with pharma, which was a very significant uptick in the ROI from where you've been trending.
Jeffrey Tangney: Yes. Thanks, Ryan. Good to hear from you. And yes, it's a great question. I think so just to recap for folks, back in the roadshow for our IPO a few months back, we were very proud to have a 10x return on investment for pharmaceutical clients as a median. And now that's grown to 17x this past quarter in dozens of studies that we've done. So we're pleased to see that going up. I can tell you what it's not. It's not us increasing the ad load or the amount of sponsorship on the network. I can tell you that if you look at our various programs, they monetize in different ways. So you can argue that having more pharmaceutical clients in our sample closet to order samples is better or more appointments at our booking engine is better. But when it comes to our news feed, we don't want to have too many of the cards be sponsored even though we write all the sponsored cards ourselves. And so this trailing 12 months, it's still only at 1 in 14 of those cards that sponsored. So we think we still have a lot of room to grow there before anything becomes noticeable or annoying or in any way, harms, I'd say, the overall health of the network. So I think our pharma clients are just seeing the doctors are paying more attention to us, especially in a world where they're getting together maybe at fewer live conferences and dinners. And this is the place where they're learning from their colleagues and staying up to date on the latest science which is changing faster than ever. The final note I'd just say is that our engagement with our news feed has never been higher. It's grown to levels much, much higher than our pre-pandemic levels. And so we're just really pleased to see that physicians are relying on us to stay up to date on the latest research and science.
Ryan Daniels: That's great. And then one quick follow-up. If we think of maybe one megatrend, we're hearing from all our provider groups as we go across the earnings season, it's workforce burnout, it's turnover, it's challenges in recruiting. And it seems like your platform is well positioned to help with all of those, whether it's workforce improvements in the productivity front, certainly, you have a recruiting platform for hospitals. And I'm curious what you're doing as an organization and specifically a provider-centric organization to help with this kind of workforce burnout and turnover we're seeing in the market.
Jeffrey Tangney: Yes. No, great question, Ryan. Yes, I'll talk about burnout first, but then a bit about recruiting. So on burn out we have had a number of good discussions with health systems and certainly as a physician-centric organization, it's something we care a lot about. We've asked these health care heroes to be heroes for a very long time right now, and it's difficult for everybody. So we have some ideas we're going to test out. Mayo Clinic has done some things where just getting together with peers that you haven't seen for a while, that maybe you were in the trenches with in residency to have a nice dinner could be very reenergizing for docs. So we're looking at some, I'd say, somewhat simple, but hopefully powerful ways there to help doctors recharge during this incredible pandemic in period. All right. Second, with regard to recruiting, I'm glad you asked about it. You have asked about it a bit in the past. As you recall, about a year ago at the start of the pandemic, we decided to offer more of a white-glove service to our clients and offer them not just our talent finder software tool, but also services to help them actually credential and schedule and actually bring in those physicians. So we acquired a firm in Dallas, it's called Curative. It's our only non-subscription revenue as a company. So it's revenue that we earn based on actually placing the doctors. So this will be in our 10-Q, which will come out in the next 12 hours or so. And you'll see that, that business grew 31% year-on-year this past quarter, which is accelerating growth for us. And we're actually quite excited about the prospects to go and further digitize what today is a very paper-driven industry. So excited that one of the top cruise lines actually chose us to find their ship doctors as they are reopening. So it's interesting to think about it from a cruise perspective. But this is a business that's had to completely reboot, right? And as they reboot they're realizing that they don't want to be getting thick FedEx packets of paperwork. They would rather be talking with us and doing their scheduling, credentialing online directly with the doctors instead of with all this back office that now seems outdated. So we're excited to see -- speak to more of the growth there in coming quarters. But recruiting, we think, is a big, big opportunity for us.
Operator: Your next question comes from Stephanie Davis with SVB Leerink.
Stephanie Davis: Congrats on another quarter. So this first one might be best for Jeff. I was hoping you can walk us through how you think about daily active users and how often this comes up in your conversations with your key customers and they're factoring in for their internal ROI calculations.
Jeffrey Tangney: Yes. No, thanks, Stephanie. So first, I'll say, we don't talk about daily active users with our clients. Really, we're focused on delivering them return on investment. And at the end of the day, we're a partner, a marketing partner over these year-long subscription programs to help them get lift. Now we do look a lot with them who their target audiences are and what modules they're employing and the kind of engagement they see around those modules. But DAUs, it's really more of an impression kind of model. And keep in mind, we only will show a particular sponsored news card once to an individual doctor. And again, it's more about finding the referrals and the connections. That said, I know there have been some reports that have been circulating about our overall usage, which is an important long-term metric being flat from pre-pandemic levels. And I could just hit that head on and say, our users and usage is weigh up, I mean, mid-double-digit percentages up from our pre-pandemic levels and any third-party data that suggests otherwise is just wrong. And believe me, we've looked at this a bunch of different ways. Internally, we split our 3 product teams across 3 different teams that we individually measure called news, network and comms or communications. So comms or telehealth has been our fastest percent grower over this pandemic. It's up over 3x. So some less than 100,000 quarterly active physician callers pre-pandemic to a record of 330,000 physicians, MPs and PAs last quarter. And we're focused on that metric because we've seen that actually heavy telehealth users also tend to be high prescribers and referrers since they hail from specialties like oncology, endocrinology and cardiology, which are particularly good for doing telehealth, quick follow-up visits to help patients titrate their meds. So these heavy-prescribing specialties are also are heavy-telehealth specialties. And so we've chosen telehealth active doctors as our core metric and we'll report on in each quarter. And telehealth is really a very competitive space right now. It's a land grab. We're proud to have added 50,000 new physicians to our paid telehealth platform this past quarter. And we're going to keep holding our feet to the fire to deliver -- to continue to grow our market share, grow our footprint there of our telehealth platform, which again hit record highs this past quarter.
Stephanie Davis: Very good work at getting at the subtext I'm hinting at. Now Anna, I can't forget you either. I do want to call it the guidance does imply a pretty meaningful slowdown as we get to the back half of the year. I get that you're being prudent about reopen assumptions, something you can give us more granularity around just puts and takes of the detail and what's factored in, what's not.
Anna Bryson: Yes. Sure. Steph, good to hear your voice. So I'll start by saying that the shift to digital that we're seeing is certainly a fluid situation, and the market landscape is constantly evolving. And our guidance really reflects our best estimate at this time of what the shift to digital will really look like over the next few quarters. Now that said, our pipeline remains robust, and that's reflected in our second half guidance. We're guiding to 40% growth in the back half of the year after a year where we saw an unprecedented revenue acceleration. So I'd say we're really pleased with this momentum. And then more importantly, what I would focus on and what I would turn your attention to is that we're focusing on building a company that yields long-term sustainable growth. And we think we can achieve that just given how underpenetrated we are into our customers' budgets and that high ROI that Jeff was just talking about.
Operator: Your next question comes from Alex Sklar with Raymond James.
Alexander Sklar: Jeff, on your extension and expansion with U.S. News, now that you're the only source of voting for physicians, what are your expectations around kind of the health system spend as it relates to kind of improving their own standing within those ratings?
Jeffrey Tangney: Yes. Thanks, Alex. Good question. So I'll say we're pleased to be working with U.S. News as we have and expanding our partnership with them to help patients find the best care in a subspecialized way. And they've really been expanding nicely. You may have noticed they used to just do sort of a national, and then they started doing regional and state level. Now they're doing a local-level rankings as well. So it's becoming more and more helpful for patients to find the best care, but the care that's also local to them. And of course, that means a lot more hospitals and health systems care about them, too. It's not just the top 20 across the country. It's the top several hundred now, which is terrific. In terms of working with them, I'd say that certainly, hospitals care a lot about what doctors think of them. And we're proud that we've got the statistical coverage for their rigorous analysis to be able to be -- affect the voting booth, the polling booth for covering every geography and every specialty and pulling that together. Health systems have been our fastest-growing business if you look at just our overall internal revenue growth there. And I think it's partnerships like this that will allow that to continue.
Alexander Sklar: Got it. And then one follow-up. Just in terms of the pricing dynamics with some of your life sciences customers as you've kind of grown the total and active user base. And then as you kind of mentioned about the pressure to the no see and some of the legacy sales and marketing tactics. How much have you been able to grow unit pricing? And is that the focus right now? Or is that just kind of a future -- we should think about that as a future lever longer term?
Jeffrey Tangney: It's a great question. And the no-see doctors, I'm pleased to hear you following some of these tactics at the mail and magazine's legacy. I wish they were more legacy than they actually are. When we look at how much is actually still spent there, you'd be surprised. We mainly look at our pricing through an ROI lens. It's our job to be your marketing partner to deliver your results, not through other lenses. That all said, our prices are going up, but frankly, modestly, reasonably. And it's not the main lever we're pulling right now. We're in this for the long haul. We're playing the long game. From our point of view, these are partnerships that we expect to have for decades to come. And we understand that delivering good ROI means that they should be willing to pay us more, but it's part of our ongoing partnership.
Operator: Your next question comes from Richard Close with Canaccord Genuity.
Richard Close: I was wondering, Jeff, can you go into the Press Ganey partnership a little bit more in terms of how you're working with them. Is that a revenue generator for you guys in the future? Just exactly how that relationship works would be helpful.
Jeffrey Tangney: Thanks, Richard. Yes. So Press Ganey, I think, as folks know, works with almost every hospital in the country. You're required to have a certain number of patient feedback surveys as part of reimbursement dynamics. So we're pleased to be working with them. They have a footprint everywhere. And I will tell you, as we try to grow our telehealth platform, we're looking for more partners, right? We need places where we have existing client relationships, and Press Ganey has them again, almost everywhere. So we're excited to cross-sell, frankly, with Press Ganey's access and get more health systems moving on to our telehealth platform. Because we're helping them up their tech game a little bit. We've got a strong, strong engineering and tech DNA in the company. And making it very easy to take this process today that takes usually a couple of days for Press Ganey to call out to the patient and do a survey afterwards, sometimes a little longer and really make that real time. Right after the telehealth visit, they get a text message, you see it right there on your screen. And to have that be real time is obviously better quality input for that health system and also much lower cost than paying lots of people in a call center in Indiana to call all these patients. So I think it's a win-win. We're bringing the tech side. They're bringing a lot of customer relationships. And yes, that will help us grow our health system footprint with our telehealth business. Now that all said, our telehealth business is a small single-digit percentage of our overall revenue right now. So while we expect that can be much, much larger in the future, it's not like we're leaning on this Press Ganey partnership to deliver cross-sells that we need to make our next quarter.
Richard Close: Okay. That's helpful. And just to dive in, maybe on the med device and diagnostics. That's two quarters in a row, it's sort of been called out as a new initiative, and making some progress there. Can you go into a little bit more detail in terms of do you have a dedicated sales force towards those customers? Just how are you thinking about expanding in that subsegment?
Anna Bryson: Sure, I'll take that question, Richard. So first, I just do want to start by saying and reiterating that our message here remains the same as last quarter. So we still believe our largest opportunity is the markets we address today. And I think the example I gave where we remain less than 5% penetrated into our pharma customers, medical, professional marketing budget is really the perfect proof point for why. Now that said, as you just mentioned, there's also a shift to digital underway in other under-indexed industries, such as med device and diagnostics. And we're encouraged by our ability to capitalize upon that. With regards to your question specifically around the separate sales force, as of right now, we're able to really utilize our existing sales force, and utilize also our existing modules, which I think is pretty unique to cross-sell to this new industry. So we're really excited about the traction we're seeing there. But I do want to just reemphasize once again, we don't really expect these newer markets to represent more than a single-digit percentage of our revenue. And so in the near term, we're much more focused on really penetrating our core pharma and health system clients.
Jeffrey Tangney: And I'll just add quickly, Richard. This is Jeff. Yes, we are considering a separate sales force there. I have to say I've been surprised that historically, medical devices and specifically have been incredibly sales force focused. And the marketing budget is relatively small and the digital marketing, even smaller still. And to see them stepping up and paying 7 figures, and coming to us in some cases, it's been gratifying. Maybe it's a sign that this IPO marketing bump really does exist that they're thinking of us and coming to us. But it's also a sign that things have really changed and how doctors communicate with the industry. And we're excited to see that kind of momentum in a space that historically hasn't really done much in digital marketing.
Operator: Your next question comes from Jackson Ader with JPMorgan.
Jackson Ader: Could I actually just follow up on the -- just that med devices point that you just mentioned, Jeff. Do doctors have the same kind of purchasing decision power? Like do they have the same agency over purchases of medical devices and diagnostics as they do for prescriptions?
Jeffrey Tangney: Short answer is yes. I mean if you're an orthopedic surgeon and you're deciding what devices you choose to use. So the short answer is yes. And what's interesting actually is that our surgeons have always been among our more active users. They were actually the first ones to get on the platform because they care about referrals, right? And they want to be connected in their local markets to other physicians. But in terms of having ways to monetize them, it's been a little harder because again, the medical device firms weren't really into digital marketing. And now that they are, I think that opens up a whole new avenue for us to leverage some of these surgeon relationships that we have that are among our strongest.
Jackson Ader: Okay. All right. That makes sense. And then as the author of some of these spooky engagement reports, I'm curious if the data from third-party providers is erroneous, unfounded, inaccurate or whatever, then where would you suggest investors or analysts go to source some of the engagement statistics that might not matter on a short-term basis, but certainly might matter in terms of the health of the network in the long term.
Jeffrey Tangney: That's a great question. And certainly, your report did lead to a lot of, I think, productive constructive discussion on our end. I'd say the biggest issue -- a lot of these third-party trackers are based on free VPN software, which largely hospitals and doctors no one uses. I think the one you did use is based more on app tracking, which Apple's made really hard to track other apps. So Android is a little friendlier, but doctors from our coverage in study, and I think we would know as well as anyone, doctors are 85% iOS or iPhone, only about 15% Android. So it doesn't cover that market very well. If anything, I will say, looking at some of the data that we've seen out there, it's interesting, it's picking up some of those health care workers that we opened up to at the start of the pandemic. You may recall at the beginning of the pandemic, we offered a free year of telehealth to all health care workers in the U.S. because we just want to do our small part to help out. And we're so pleased that so many of them were able to use it to call their patients and call their patients' families but we have thousands of receptionists and back-office hospital folks who adopted us. And we've been phasing out that product because we're really focused on serving clinical users. So that might be some of what those third-party data sources are picking up as maybe those Android users. Of course, they're missing all the web users, which is a big chunk of what we do, too. I honestly don't have a good answer for you on where to look on those reports. I know inside the pharmaceutical industry, there are some reports that IQVIA and others do put out. Those are largely survey based, but that's where our clients tend to use in addition to just our own actual reports that we provide back to clients after each program. But there's -- yes, unfortunately, not a good sort of -- yes, a Nielsen sort of the space.
Operator: Your next question comes from Craig Hettenbach with Morgan Stanley.
Craig Hettenbach: It's Craig on for Ricky. Just following up on the comments of 40% year-on-year growth in the back half. The implied growth for the March quarter is around 33%, which suggests it's getting closer to kind of your more normalized view of 30% net revenue retention. So can you just talk about perhaps just the potential puts and takes around kind of the return to normal?
Anna Bryson: Sure, Craig. So here's what I'll say here around our Q4 growth. So when we talk about our net revenue retention, I want to kind of think about that a little bit separately than we think about quarter's year-over-year growth. So now net revenue retention is a trailing 12-month metric. So it's a direct function of our trailing 12-month revenue growth. So if you think about the lens of, it was 85% this past quarter. Now as our TTM growth rate normalizes, which we are predicting to happen in the future, our net revenue retention rate will normalize as well. But I do want to add that we certainly anticipate existing customers will continue to lead our growth here for many reasons. So there's the deep relationships we've built. There's the high ROI that they've become accustomed to in our platform. There's the multiple cross-sell and upsell vectors that we have. And then there's finally the large budgets that they have that are very under indexed in digital. And so while we once again are kind of not guiding to what this NRR metric will be, we do think it will track pretty closely with our overall trailing 12-month growth rate. And in the medium term, we believe our baseline, which is where we landed in the pre-pandemic years of that range of 130%-plus is likely what we'll see. And once again, that's still very strong NRR. We're very, very pleased with that.
Craig Hettenbach: Got it. Appreciate the color. And then just a follow-up in terms of the strong growth you're seeing. Given the tight labor market, are you seeing any constraints in terms of looking for to reinvest in the business?
Anna Bryson: No, not necessarily at all actually. There is a tight labor market, but our hiring is -- remains robust here. And I'll just add, if you look at our quarter that we just had, the EBITDA beat was entirely driven by our revenue outperformance. So we spent in our OpEx exactly what we said we'd spend. So we're pretty on track for our hiring plan. And we're still continuing to invest very heavily in our R&D teams and our sales and marketing teams in order to keep growing our top line.
Jeffrey Tangney: I'd just add -- this is Jeff, that adding RSUs or recruiting package has been a big bonus. It certainly made things a lot easier. And yes, no, we have been doing well. We were 3 quarters remote or distributed as a company before the pandemic hit. And I think we've earned good stripes as just being a company that knows how to manage that hybrid work lifestyle well, and that's allowed us to recruit from a pretty broad base.
Operator: Your next question comes from Sean Wieland with Piper.
Sean Wieland: So on the telehealth business, what can you share with us about any metrics on either utilization or some details of monetization strategy? And maybe even how much did it contribute in the quarter?
Jeffrey Tangney: I'll start. I think Anna can speak to the contribution, which, again, I think was small, 3% or 4% of our revenue. But again, it's ramping nicely and it's a subscription ramp. In terms of the utilization, again, we had a record number of doctors trying us out. I think we're really just spreading -- the word is spreading inside the enterprises that have adopted us, and we're becoming the favorite the go-to, the first place that they pick up to go initiate that visit. In terms of overall call volume, it is down, of course. I think the time a year ago was really the peak time for shutdown and everything else. But again, our model is not based on number of visits in any way, shape or form. We're not a telehealth service provider. We're not providing a health care service. We're more like a Zoom and we get paid per user per month. So from our point of view, that ebb and flow will be good. I'll just add, Sean, since I know you're a student of the game and of the industry here. I think there's a really interesting debate that's going on inside telehealth right now around what is appropriate care for telehealth. And I think there's a big debate that's happening around. Is it really appropriate for certain types of urgent care or emergent care visits, given that when the patient presents with a whole host of things, are they getting the highest quality care if it is telehealth and I can't get a full sense of the patient. So a lot of our clients are making the argument that having a pre-existing client relationship is important, I think, for successful telehealth. And again, what we see that it's been really successful and received high patient scores and doctor scores for those follow-up visits with the diabetic patient who would have otherwise had to travel for 1.5 hours in and 1.5 hours back and sit in a waiting room for a half hour, all to have a 10-minute visit to ask how it's going and titrate their meds. I think telehealth is exceptionally good at that sort of quick follow-up visit cadence. And I think our product is actually well built for that use case as well.
Nate Gross: Sean, this is Nate. I'll touch on monetization. So the enterprise business that we have today in telehealth is growing nicely. Again, we expanded the paid teles offering by 50,000 physician licenses in the last quarter. And the primary driver of those is purchasing decisions with a combination of remaining the favorite among physicians for ease of use. I think as evidenced by our user metrics among clinicians, over 330,000 in the last quarter. And also being a leader in the class IT department ratings to be able to integrate easily produce no shows. There's a great network effect here with the rest of our platform, such as checking the news feed between visits. And so we want to keep the price of the basic offering competitive as we seek to gain share and leverage those engagement benefits. In the long run, we believe that we can upsell additional capabilities here over time. But when we do that, a win-win for us is something that helps doctors be more efficient. And there's a lot of adjacencies that fit that mold. And I think you can see some good examples in terms of helping improve referrals to the right specialists or just the progress that we've already made that I'm encouraged by in optimizing the post telehealth call experiences with those trusted brands UpToDate and Press Ganey.
Operator: That concludes the Q&A session. I will now turn it over to Jeff Tangney for closing remarks.
Jeffrey Tangney: All right. Well, thank you, everybody, for joining us today. We really appreciate it. And again, I'd like to thank the entire Doximity team for their incredible dedication and results this past quarter. Thank you for joining.
Operator: This concludes today's conference call. Thank you for joining. You may now disconnect.